Executives: John J. Ferriola - Chief Executive Officer, President and Director James D. Frias - Chief Financial Officer, Executive Vice President and Treasurer Ladd R. Hall - Executive Vice President of Flat-Rolled Products R. Joseph Stratman - Executive Vice President of Beam & Plate Products Hamilton Lott - Executive Vice President of Fabricated Products James R. Darsey - Executive Vice President of Bar Products
Analysts: Michelle Applebaum - Steel Market Intelligence Inc Luke Folta - Jefferies & Company, Inc., Research Division Shneur Z. Gershuni - UBS Investment Bank, Research Division Arun S. Viswanathan - Longbow Research LLC Brian Yu - Citigroup Inc, Research Division Timna Tanners - BofA Merrill Lynch, Research Division David Galison - CIBC World Markets Inc., Research Division Richard Garchitorena - Crédit Suisse AG, Research Division Mark L. Parr - KeyBanc Capital Markets Inc., Research Division Anthony B. Rizzuto - Dahlman Rose & Company, LLC, Research Division Sohail Tharani - Goldman Sachs Group Inc., Research Division
Operator: Good day, everyone, and welcome to the Nucor Corporation Fourth Quarter and Year End of 2012 Earnings Call. As a reminder, today's call is being recorded. [Operator Instructions] Certain statements made during this conference call will be forward-looking statements that involve risks and uncertainties. The words we expect, believe, anticipate and variations of such words and similar expressions are intended to identify those forward-looking statements, which are based on management's current expectations and information that is currently available. Although Nucor believes they are based on reasonable assumptions, there can be no assurance that future events will not affect their accuracy. More information about the risks and uncertainties related to these forward-looking statements may be found in Nucor's latest 10-K and subsequently filed 10-Qs, which are available on SEC's and Nucor's websites. The forward-looking statements made in this conference call speak only as of this date, and Nucor does not assume any obligation to update them, either as a result of new information, future events or otherwise. For opening remarks and introductions, I would like to turn the call over to Mr. John Ferriola, Chief Executive Officer and President of Nucor Corporation. Please go ahead, sir.
John J. Ferriola: Good afternoon. This is John Ferriola, Nucor's President and Chief Executive Officer. Thank you for joining us for our conference call. As always, we appreciate your interest in Nucor. With me for today's call are the other members of Nucor's senior leadership team: Dan DiMicco, Nucor's Executive Chairman; Jim Frias, our Chief Financial Officer; and our other Executive Vice Presidents: Jim Darsey; Keith Grass; Ladd Hall; Ham Lott; and Joe Stratman. First and most importantly, we want to thank everyone on Nucor's, Harris Steel, David J. Joseph, Duferdofin, NuMit Steel Technologies and Skyline Steel teams for your hard work, taking care of all of our customers in today's very challenging market conditions. As always, you are doing it by working safely, working smart and working together. In fact, you achieved Nucor's best-ever safety performance in 2012. Congratulations and thank you. Please stay focused on our Beyond Zero safety goal. Beyond Zero means we don't just target 0 injuries or illnesses, but also 0 near-misses and 0 potential for any safety incident. You are Nucor's greatest assets and our real competitive advantage, the right people. Thank you all. Every day, you are building a safer, stronger and more profitable Nucor. As we announced on November 16, I became Nucor's CEO at the start of this year. Dan DiMicco remains a key member of our team, serving as our Executive Chairman. These moves reflect the planned, thoughtful transition of leadership at Nucor. Our company's robust executive succession planning process has been a priority of Dan's from the very beginning of his tenure as Nucor's CEO. It will also be a priority of mine so that the next transition is as seamless as this transition. Dan became Nucor's leader in September of 2000. He served as our CEO longer than anyone since our founder, Ken Iverson. Under Dan's leadership, Nucor delivered dramatic growth in profits and shareholder returns. From September of 2000 through the year end of 2012, Nucor's total shareholder return growth of 720% was almost 4x greater than the total return of the S&P Steel Group Index, and was 28x greater than the S&P 500's total return. In addition to this impressive record of profitable growth, Dan became an extremely effective champion for domestic manufacturing and rules-based, rules-enforced free trade. Most important of all, Dan strengthened and grew Nucor's culture over a period that included 2 of the steel industry's worst downcycles. I am excited, honored and humbled to serve as Nucor's new CEO. Dan's shoes are extremely big ones to fill. Nevertheless, I share Dan's conviction that Nucor's best days are ahead of us. Our strength is our culture. Nucor's culture is defined by its drive for continual improvement. We are never as good today as we are going to be tomorrow, because we are always working to become better. The 22,000 men and women on the Nucor team, the right people, are looking forward to converting the significant investments made during the current downturn into profits that will give us higher highs when the next upcycle arrives. I will now ask our CFO, Jim Frias, to discuss our fourth quarter results and financial position. Following Jim, I will update you on Nucor's growth strategy. Jim?
James D. Frias: Thanks, John, and good afternoon. Fourth quarter 2012 earnings of $0.43 per diluted share exceeded our guidance range of between $0.25 to $0.30 per diluted share. Fourth quarter results included a larger-than-expected LIFO credit of $0.14 per diluted share compared to our guidance of $0.06 per diluted share. Nucor's fourth quarter performance also benefited from stronger-than-expected operating profits at our sheet, plate and beam mills. A quick comment about our tax rate, since it can be confusing due to the impact of profits from noncontrolling interests. After adjusting out profits belonging to our business partners, the fourth quarter of 2012 effective tax rate was 30.3%. For full year 2012, Nucor's effective tax rate was 34%. Overall market conditions remained extremely challenging in 2012. However, difficult steel markets highlight the value and strength of Nucor's business model. The best evidence is provided by Nucor's ability to generate strong cash flow through cyclical downturns. 2012 cash provided by operating activities increased to $1.2 billion from 2011's operating cash flow of $1 billion. During the current cyclical downturn from 2009 through 2012, average annual cash generated from operations is more than double the amount generated during the last downturn from 2001 through 2003. Our growth strategy's objective is higher highs and higher lows in the returns achieved through successive business cycles. Balance sheet strength remains another important attribute of Nucor's business model. Taking advantage of our healthy cash flow and liquidity position, we retired $650 million in maturing long-term debt in the fourth quarter of 2012. Nucor's total debt-to-capital ratio is now 31.7%. That is down 4 percentage points from year end 2011. In addition to reducing our leverage, our strong cash flow and liquidity allowed us to continue Nucor's long tradition of growing stronger during downturns. Our capital spending for 2012 totaled $948 million, with most of this capital invested in growth projects. We also invested $675 million in the acquisition of Skyline Steel. This acquisition expands our growth opportunities in the steel piling business. Skyline is off to an excellent start as a member of the Nucor team. Nucor continues to enjoy a healthy liquidity position. Cash, short-term investments and restricted cash totaled $1.4 billion at the end of 2012. Further to Nucor's strong liquidity, our $1.5 billion unsecured revolving credit facility is undrawn, and it does not mature until December 2016. We have no commercial paper outstanding. Standard & Poor's, in its January 16 quarterly report entitled, "U.S. Metals and Mining Companies, Strongest to Weakest", again ranked Nucor #1 for credit rating and outlook among the universe of 67 companies. Nucor was also the only steel company in the group that S&P awarded a strong business risk profile due to our competitive position and profit performance relative to our peers. We are the only steel producer in North America to enjoy the extremely important competitive advantage of an investment-grade credit rating. The benefits of our credit rating include: A lower cost of capital, financial flexibility and our position as the lowest risk counterparty for both customers and suppliers. Our natural gas working interest investments to support Nucor's raw material strategy are an excellent example of how financial strength pays off for Nucor. In 2013, we will continue to take advantage of Nucor's position of strength to grow Nucor's long-term earnings power and shareholder value. 2013 capital expenditures are expected to exceed $1.1 billion. We are implementing a number of projects throughout our upstream steelmaking and downstream businesses to develop new products, increase quality and reduce costs. Significant items in this year's capital budget include: Approximately $280 million for our Louisiana DRI facility; approximately $260 million for our natural gas-related investments; approximately $150 million to expand our SBQ production capabilities at our bar mills in South Carolina, Nebraska and Tennessee; approximately $100 million to expand our Nucor-Yamato structural mills portfolio of sheet piling products; approximately $80 million to produce wider and lighter gauge hot rolled sheet at our South Carolina flat-rolled mill; and a number of other attractive projects, ranging from the addition of a normalizing line at our North Carolina plate mill to a new reheat furnace at our Connecticut bar mill. In 2013, Nucor's investing significant capital in 2 natural gas drilling programs that we believe will secure a reliable, low-cost supply of natural gas for our current and expected future needs for more than 20 years. These agreements are with Encana USA for onshore natural gas drilling in the continental United States. The drilling of natural gas wells resulting from these 2 programs is expected to provide enough natural gas to equal Nucor's usage at all of our steel mills, plus the usage of 2 DRI facilities; or alternatively, 3 DRI plants. We expect successful execution of our raw material strategy, which is comprised of DRI production paired with this long-term and low-cost supply of natural gas, to be a game-changer for the cost structure of Nucor's sheet, plate and SBQ steelmaking operations. The raw material strategy is also a game-changer by shortening Nucor's supply chain for high-quality iron units. In addition to allowing us to invest in attractive growth opportunities, our strong financial position and cash flow generation has enabled Nucor to build an impressive record of cash dividends paid to our shareholders. Academic studies consistently show that dividends are a large component of long-term shareholder returns. In December, Nucor's board increased our regular, or base, dividend for the 40th consecutive year. Driven by the Nucor team's success in growing long-term earnings power, the base quarterly dividend has been increased approximately tenfold over the past 12 years. For the first quarter of 2013, Nucor's earnings are expected to decline from the fourth quarter of 2012. This reflects our outlook for stable performance at our operations and a small first quarter LIFO charge in contrast to the fourth quarter's very large LIFO credit. Nucor will again follow our practice of providing quantitative guidance in the final month of the quarter. Our team is excited by the opportunities we see ahead to reward Nucor shareholders with very attractive long-term returns on their valuable capital. John?
John J. Ferriola: Thanks, Jim. After 4 years of recession and at best, modest economic growth, we still cannot see signs of a full economic recovery. Steel mill, steel market conditions remain very challenging. This is evidenced by a current capacity utilization of just 75% for the U.S. steel industry. Nonresidential construction activity has shown modest improvement, but remains at anemic levels. Relatively stronger end-use markets remain: Automotive, heavy equipment, and energy. Imports, which are being dumped in many instances, continue to present a serious challenge to the U.S. steel industry's recovery. Preliminary U.S. Census Bureau data for December of 2012 indicate full year 2012 imports at 26.7 million tons. That is a 17% increase from 2011 imports of 22.8 million tons and a whopping 38% increase from 2010 imports of 19.3 million tons. By contrast, the U.S. steel mills increased their production by less than 10% over the same 2-year period. These import levels make no sense whatsoever when you consider both the sluggish domestic economic recovery and the fact that American producers, overall, are among the lowest cost producers of steel in the world. Nucor will continue to be proactive in bringing attention to the critical need for our government to enforce rules-based free trade. The existing way of the global trading stage is more than just a threat to the profitability of Nucor and our customers, it is a major obstacle, blocking the path of sustainable recovery for the U.S. economy. There's a growing awareness among policymakers and the overall public that this crisis must be dealt with and sooner, rather than later. We are extremely fortunate that Dan DiMicco will continue his work to promote a strong, vibrant U.S. manufacturing base. Challenging economic times provide opportunities to businesses that have financial strength and disciplined strategies to grow profitably. We have good news again to share with you this quarter about our work to grow stronger during the current cyclical downturn. Our Arkansas sheet mill successfully started up its twin tank vacuum degasser during the fourth quarter. Vacuum degassing removes carbon, hydrogen and nitrogen from molten steel. This is necessary for the production of steels with enhanced formability, improved electrical efficiency and decreased susceptibility to hydrogen-induced cracking. The degasser will expand our value-added product offerings to a number of markets. It is also strategically positioned as the westernmost flat-roll degasser in the U.S. and is in a prime location to serve the growing Mexican market. Nucor continued to enjoy success in expanding its presence in automotive markets during 2012. Shipments were up almost 20% over 2011. Our North Carolina plate mill is on schedule to start up its normalizing line later this year. The mill's new vacuum tank degasser that started up in 2012 is now in commercial production on new business for bridge and armor applications. Construction is going well in our DRI facility in Louisiana. We are on schedule for a startup in mid-2013. The Nucor Steel Louisiana team continues to get the job done despite ongoing weather challenges, as rainfall has been heavy in recent weeks. This follows the previous challenge presented by last summer's record low levels of the Mississippi River. Our international commercial team again demonstrated in 2012 Nucor's global competitiveness. International shipments represented 10.4% of total steel shipments last year. We continue to grow our international footprint in these very difficult market conditions. As you can see, Nucor is growing stronger. A stronger Nucor is one positioned to deliver for our shareholders higher highs and higher lows in earnings through successive economic cycles. Since the last cyclical peak in 2008, through disciplined execution of our multipronged growth strategy, we have invested nearly $7 billion of our shareholders' valuable capital through the end of 2012; and with our expected 2013 capital spending of more than $1 billion, our cumulative investments since the last cyclical peak will total approximately $8 billion. These investments have dramatically increased Nucor's long-term earnings power. During the next several years, our focus will remain on executing our strategic plan and converting those $8 billion in investments into profits once the next cyclical upturn inevitably arrives in the economy and in our markets. That said, we will continue to plan for tomorrow while executing today. We will continue to be opportunistic and take advantage of our strong balance sheet to capitalize on uniquely attractive investments as they become available. And given the breadth of our multiple business platforms, I am confident we will continue to find investments that grow shareholder value for Nucor. With our disciplined focus and by working together as a team, we will build on Nucor's long-term record of success in rewarding our shareholders with attractive returns on their valuable capital invested in our company. As Dan DiMicco has said many times, and I firmly believe, Nucor's best years are still ahead of us. Thank you for your interest in Nucor. We would now be happy to take your questions.
Operator: [Operator Instructions] And for our first question, we go to Michelle Applebaum with Steel Market Intelligence.
Michelle Applebaum - Steel Market Intelligence Inc: First, I want to congratulate you on your promotion. It was very well deserved and also say, I guess I don't want to say goodbye to Dan, but I guess, new mode of -- or congratulations, I guess, to Dan on his new job. Maybe that's the way to do it as well, on his promotion.
John J. Ferriola: That's the way to say it, and I certainly don't want you saying goodbye to Dan.
Michelle Applebaum - Steel Market Intelligence Inc: My question for you is, can you give me your thoughts about what will be different and what will be the same in your tenure?
John J. Ferriola: I'd be happy to do that, Michelle. Well, let me start with what will be a little different. As I mentioned in the script, we've invested, by the end of 2013, we will have invested $8 billion in our strategic plan. So over the next several years, our focus will be on executing that plan, converting those investments to higher highs during the next upcycle. That will be our focus. Let me talk a little bit about some of the things that'll be the same. First of all, most importantly, our absolute commitment to safety will remain unchanged. Our belief that there is nothing more important than safety will remain the same and our relentless drive to achieve Beyond Zero will not change. We believe strongly that maximizing safety maximizes our teams' communication and productivity. Shareholders benefit from our safety focus in many ways. We'll stay committed to our mission statement to take care of our customers, all of our customers, the way we have defined them in the past. We'll remain committed to a strong balance sheet. We're in a highly cyclical business and remaining committed to a strong balance sheet in a cyclical business allows us to weather those economic cycles without having to divest the valuable people or assets. And as we've shown during this recent downcycle, that discipline has allowed us to take advantage of some strategic assets at attractive pricing. We remain committed to growing our business through the long-term perspective that we've always had. Our goal being long-term, sustainable, profitable growth. We remain committed to capital, to the previous capital deployments priorities that we had, investing in long-term profitable growth, return capital to our investors with a strong base dividend, provide a supplemental dividend when economic conditions allow and opportunistically buy back stock only when other capital deployment commitments are fully satisfied and we believe that the stock is an excellent value. So that's a little bit about what will be different and what will be the same.
Michelle Applebaum - Steel Market Intelligence Inc: That's great.
John J. Ferriola: Michelle, let me add one more point. I should've mentioned this. Of course we remain, as a team, committed to our strategic growth plan, the 5-pronged growth strategy that we've had over the last 10 years.
Michelle Applebaum - Steel Market Intelligence Inc: Okay. Listen, I just want to tell you guys both and your whole team, and I know this with certainty, Ken would have been very, very proud, and I am.
Operator: And for our next question, we go to Luke Folta with Jefferies.
Luke Folta - Jefferies & Company, Inc., Research Division: The first kind of question I had was when you look at the investments that you're making in steel, there's numerous investments in expanding capacity, SBQ, some things going on in your structural business, wide and light project and all that, I wanted to get a sense of -- I mean, essentially, these are investments you're making at pretty attractive capital costs that will expand your steel capacity without having to build any new melt capacity, per se. So I mean, they're good investments. But I guess, I wanted to get some sense of how much additional shipment opportunity that these investments are going to generate over time. The reason I ask, I guess is, because when we listen to your competitor, Steel Dynamics, talk about some of their initiatives, and I think they get a decent amount of credit, rightfully so, for some of the things they're doing in rail and the SBQ expansions there. And for them, because they report production by mill, it's really easy to kind of tally up what the potential benefit could be. And I guess, I'm trying to get there with Nucor, to try to generate some of the similar math.
John J. Ferriola: Well, as you know, Luke, we do not talk about individual mills or even with our product groups' individual production levels. But if you look at the investments that we've made, they have not only been in steel, but they've been over the full value chain of our business, and that's how we'll continue to focus and that's how you need to think about the investments and the returns that we'll get during the next upcycle. We made substantial investments in our steel side for sure, and not only on the volume side, but certainly growing value-added products. So it's more than just looking at how many tons we will ship during the next upcycle. It's the mix of the tons that we will ship during the next upcycle. In addition to that, we continue to grow upstream and downstream. The recent acquisition of the Skyline asset, a tremendous opportunity, a tremendous addition to the Nucor family. As the economy and our markets recovery -- recover, they will be a large contributor to our business.
James D. Frias: John, I just would add one thing. We have disclosed SBQ tonnage increments from those investments, and it was about 1 million tons. And Luke, I'd also say that we'll be able to operate at a higher utilization rate through the economic cycle because we'll be able to ship products that we don't make today because of the fact that we're expanding the range of products we make. So our utilization rates, on average, will be higher through the cycle than they have been in the past.
Luke Folta - Jefferies & Company, Inc., Research Division: Okay. Can you give us some color on what the magnitude of the wide and light project should be, just as far as how much tonnage you could produce at those gauges?
John J. Ferriola: Joe, do you want to take a shot at that, or Ladd?
Ladd R. Hall: Joe can. Luke, the wide and light project is not going to add significant additional tons and it's going to allow us, as Jim said, to get us to the value added -- it'll be significantly higher margins than what we've been able to do. But our tonnage from our Berkeley mill for that project will not increase.
Luke Folta - Jefferies & Company, Inc., Research Division: But what percentage of Berkeley do you think will be in that product mix, that the wide and light project is -- is it going to be 20%, 25%?
Ladd R. Hall: No, the usual [indiscernible] right around the 10% to 15% range.
John J. Ferriola: One of the things we might want to point out, we talked during the script about the importance of us growing in the automotive market, growing the right way in the automotive market, and this is an investment that will allow us to continue growing in that market segment. As we mentioned in the script, the automotive market continues to be one of the markets that has remained strong during this downturn. If you look at 2012 auto sales, I believe they came in at about 14.5 million tons, which was about 12% or 13% higher than last year, last year being previous year, in 2011. But we expect them to increase again in 2013, we expect automotive sales to top out at about 15 million tons. So the automotive market is a strong market, and has remained strong during this downturn. The wide and light project at Berkeley will allow us to further penetrate that market. Again, it's an issue of not significantly more tons, but value-added, higher-value tons into a value-appreciative market.
Luke Folta - Jefferies & Company, Inc., Research Division: Okay. And just one more, if I could, on the natural gas project. I appreciate your forecast for CapEx into next year, so -- but in the press release, when it was initially put out there, there were some big numbers, I guess it was $3.6 billion expected to be spent over some longer-term timeframe and it was a pretty wide range given, as far as over what timeframe that would be spent. Can you just maybe put into perspective for us, over the next kind of, 1 to 5 years, what the spending annually could amount to for that project, and also, maybe what the, some sense of what the benefit could be, or maybe some numbers that could help, at least, put that into perspective?
R. Joseph Stratman: Sure, Luke. This is Joe Stratman. I'd be happy take a shot at that. I would say, over the next 2 to 5 years, just '13 and for the next 4 or 5 years after that, the spend should be approximately in the same ballpark. And as you might imagine, and you know probably the natural gas drilling business a little bit, you're deploying capital and you're drilling wells and the wells come on and they produce for a very long period of time. But one well certainly doesn't produce all the gas that we're talking about in these programs, so you're drilling multiple wells over a series of years and the gas will be drilled for a number of years, will produce for a number of years more. So when we talk about the natural gas supply for the next 20-plus years, that's not all drilling programs. The drilling program could go in the 7- to 10-year range and then the gas production will come after that. So near term, it's going to be very consistent with 2013 expenditure. But then the gas production will go off for many years after that.
John J. Ferriola: I would just build upon that a little bit. We talked often and did again today in the script about Nucor's long-term focus on profitability and being a low-cost producer, and this is one of those projects that's obviously a long-term project, a lot of capital is being invested. But again, it's going to pay back over the long term. This is important for us. One of our strategic goals has been to be a low-cost producer of steel and have 6 million to 7 million tons of high-valued, low-residual scrap or scrap substitute products under our control. And the DRI project is critical to achieving that strategic objective. Having the natural gas project ensures the long-term viability of the DRI project, so they go hand-in-hand and both are focused on providing Nucor with a long-term return on a good investment.
Operator: And for our next question, we go to Shneur Gershuni with UBS.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: My first question I wanted to touch upon was with respect to the DRI project that you have coming online this year. I was wondering if you could give us a little bit of color on -- you gave us some CapEx numbers, but whether there would be sort of some start up costs that would sort of run through the income statement before you started to see the benefit, and then if you could sort of give us some color on when it starts up and when it hits full capacity this year.
James D. Frias: I'll give you part of it, and Ladd, I'll let you talk about the full capacity part of the question. Our forecast is that pre-operating and startup costs related to Louisiana will run somewhere in the neighborhood of $8 million to $9 million a quarter for the first half of the year. And after that, it should swing to a profit sometime in the third quarter with -- once it starts making product. And the timing of hitting full capacity, Ladd?
Ladd R. Hall: We're anticipating right now, as John mentioned, mid-year -- starting that up, the DRI facility, it's on a slow ramp-up. I would tell you, within 2 to 4 months, it will be at full capacity. So by the end of next year, absolutely, we'll be running at full capacity. By the end of this year, yes.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: Great. Just a couple of quick follow-ups. There's been a lot of talk about residential activity picking up and it presages what will occur in the nonres side. Is there anything that you're seeing in your order book that we can sort of view as kind of a greenshoe [ph] towards a recovery in nonresidential construction?
John J. Ferriola: Well, we have seen a very modest improvement in our order entry and our backlogs going into the first quarter, and there's been some other indicators that we've seen that nonresidential construction might be seeing -- will continue its modest growth as we move through 2013. One is the ABI has been positive, being positive being above 50 now for about 5 months in a row. That's a good sign. Residential construction picking up and strengthening is also usually a precursor to nonresidential picking up. So there's a couple of things out there that we see as indicators that we will see at least a continued modest improvement in nonresidential construction through 2013. Ham, is there anything you'd like to add to that?
Hamilton Lott: John, in all 3 of the areas that we play in, we're cautiously optimistic this year. I mean, it's been a tough, tough 4 or 5 years. But cautious optimism, I think, is the right way to look at it.
John J. Ferriola: I would point out that when you look at our fabricated products businesses over the last 3 quarters, they have been profitable for 3 quarters in a row, which is -- how many quarters previous to that?
Hamilton Lott: Too many to mention.
John J. Ferriola: Okay, so it's showing a good recovery.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: Great. And one final follow-up question. With your outlook on SBQ, and the investments and so forth, if there's a slowdown in any of the drilling activity, would that impact the SBQ outlook for you at all?
John J. Ferriola: Well, it plays a role in it, but SBQ goes into many, many other markets: Automotive, big play in automotive; agricultural, a lot of our SB products go into the agricultural market and that has been strong; heavy trucks; heavy equipment. So that's one market, but it's only one of many markets that SBQ goes into. So I would not see a slowdown in drilling having a major impact on SBQ. Obviously, what happens in those other markets I mentioned will impact our SBQ markets.
Operator: And for our next question, we go to Arun Viswanathan with Longbow Research.
Arun S. Viswanathan - Longbow Research LLC: So I guess you guys have appeared to be somewhat of a price leader recently with some announcements over the last couple of months. Can you just help me understand what you're seeing maybe on the lead time side, in sheet market, as well as in Long Products, that would lead you to those moves?
John J. Ferriola: Well, many things come into our pricing decisions, lead time being one of them. Obviously, there's other things that we see that will impact that also. In terms of sheet, our lead times are probably in the neighborhood of somewhere between 2 and 4 weeks, depending upon the product. When you go out into coil rolls [ph] and dowels [ph] you're probably around a 4- to 6-week lead time period. On the Long Product side, it's harder to get lead times. Obviously, we sell a lot of that off of the floor. So we don't look at lead times as such, so I really can't give you an answer on that one. Plate side, our lead times are probably in that same neighborhood. It takes about 4 to 6 weeks depending upon the product. Now, clearly, at our Hertford County mill with our heat treat side, it's been doing extremely well, the lead times are significantly longer on that. We expect the same for our normalizing line as it comes into production during the course of this year. So that gives you some indications of the lead times.
Arun S. Viswanathan - Longbow Research LLC: Okay. And has that changed over the last month or so? Is it potentially -- you talk about cautious optimism, so is that because those lead times are extending in certain areas?
John J. Ferriola: It's ebbed and flowed, frankly. Over the last couple of months, it's picked up. The lead times have shortened. They've extended out. So -- but overall, we see it pretty stable. I would describe demand in the sheet market as stable. But having said that, it's been stable, but the capacity still far exceeds the supply -- the capacity far exceeds the demand that's out there in the market. So we see 2013 to be another challenging year in sheet.
James D. Frias: The commentary about cautioned optimism wasn't about the steel mill products directly, it was about the downstream Construction Products businesses, specifically, just as a clarification.
Arun S. Viswanathan - Longbow Research LLC: Okay. And I guess the final question I had was just on the course of strategy, last year, you did go downstream a little bit and you have some other investments this year, maybe just help me understand what you guys are thinking next as far as any large moves. Obviously, I know about DRI and all that, but are you still contemplating any large improvements or increases in capacity or M&A or any, what do you think about that?
John J. Ferriola: I think we will continue to look at every opportunity as it becomes available. We'll assess it and we'll make the right decision.
James D. Frias: And we'll let you know when we make those decisions.
Operator: We go next to Brian Yu with Citi.
Brian Yu - Citigroup Inc, Research Division: John, when we look at your 2012 shipments of structural, you're the only one to show year-on-year increase, and I was wondering if any of that has to do with your acquisition of Skyline and being able to move your own product through? And if that's the case, how much more opportunities are there as we look out into 2013?
John J. Ferriola: Well, certainly, having Skyline as part of the Nucor family has allowed us to move product through the new family member and that's helped. I don't know if we want to comment specifically on how much more opportunity we have going through that. We like to think of our opportunities as limitless, so we encourage our new friends and new family members to continue growing their business at Skyline. And we can make a lot of product at NYS that we can ship [indiscernible] to the market.
Hamilton Lott: As we make the new [indiscernible] size...
R. Joseph Stratman: I was going to add one thing, Brian. We are adding the wider sheet piling sections at Nucor-Yamato. Those will come online, we anticipate, in the middle of next year, 2014. That will be new products for us. Those are products that the Skyline team has been distributing in the past from other suppliers and, certainly, is a net increase for the Nucor family. So that's a growth opportunity within the structural business. And we're always -- the team at Nucor-Yamato and the team at Berkeley, our 2 structural mills, are always looking at new sections. Not all of them are huge volume, but incrementally, they make nice tons in these kinds of markets. And as Jim Frias said earlier, it keeps us at higher faster utilization rates throughout all market conditions.
James D. Frias: And Joe, you may also speak to how Skyline will benefit the sheet business more this year next year?
R. Joseph Stratman: One of the product lines that Skyline has and produces is pipe piling. These are for foundation applications. This is not structural type pipe and tube, this is not OCTG pipe. These are foundation pipe piles. They produce those pipe piles. The raw material they use is a sheet coil, our light plate coil and more of those tons from Skyline will be directed to Nucor mills now that they're a member of our family. So that'll improve the overall Nucor business.
Brian Yu - Citigroup Inc, Research Division: Okay, that's helpful. And the second question is just non-fabrication business, I think you mentioned that it is getting better in there. Can you talk about the backlog, if you can provide some perspective on what kind of growth you're seeing there? And then would that be more of an indication of demand for the bar or would you move some structural products through there, too?
John J. Ferriola: I'll just make a general statement about it. We're not going to give out any specific numbers on our backlogs. We've mentioned several times that we've seen a modest improvement and we'll leave it at that. Certainly, as that market improves, we will move more of our products through those businesses, our bar products, our structural products, all of our products. So we're anxiously awaiting to grow from modest to better.
James D. Frias: Of the 3 businesses, the deck plant, obviously, the sheet products, the joist plants are primarily bar, the rebar fab, this is all bar. But the metal building businesses uses sheet, bar and structural. So they use some of all 3.
Operator: And we go next to Timna Tanners with Bank of America.
Timna Tanners - BofA Merrill Lynch, Research Division: I want to ask you, because we've all been probing a lot into getting to know what DRI is and understanding it better, one of the pushbacks I keep hearing from people is that this just sounds too good to be true. So I wanted to get from you, what can go wrong there? What would keep you up at night in your whole DRI endeavor?
John J. Ferriola: What keeps me up at night in our DRI endeavor? Well, over the last year it's been weather, okay? It's a case of too much rain or too little rain. We talked about that during the script. This is a proven technology, so I really don't have a concern about the technology itself. We've got a great team down there. We have been operating our plant in Trinidad for several years now and we've gone from starting that plant up to taking it to a world-class facility in a very short period of time. So we're experienced at DRI production. We understand the process. So frankly, there's many things that keep me up at night, but our DRI plant, the startup of our DRI plant, is not one of them.
James D. Frias: Timna, I would just add 2 comments. One is that our Trinidad DRI facility had its most profitable year this year. So even in a weak market it's doing pretty well. And in general, the comment we've made to you and a number of folks is that in weak markets, like we're seeing now, we'll make a small decent return on the DRI product, have some small cost advantages that are worthwhile. And in strong markets we'll have very, very large competitive advantages when scrap prices and pig iron prices, which typically gone extremely high will be based on this fixed cost of natural gas we've locked in plus iron ore prices which tend to not be quite as volatile.
John J. Ferriola: And you've seen some of the volatility that existed in those markets over the last year and I just want to repeat what we said several times to you, and that is that when we view the DRI investment, the purpose is to produce a low-cost, sustainable and long-term supply of a high-quality iron unit over the cycle, and that's a key statement, 'over the cycle.' When you look at just iron ore, over the last 6 months, it's gone from a low of about, what, $97, $98. And it peaked out somewhere recently at about $155 a ton. So when you have those kinds of swings, that impacts all of our raw materials. Clearly, there's a correlation between iron ore pricing and pig iron pricing and even the scrap prices. So this provides for us a long-term supply over the cycle of low-cost, high-quality scrap substitute products for our mills.
R. Joseph Stratman: And Timna, let me add one more thing. As you know in your research, you said you've been studying DRI and you go back to the history of DRI in this country, you'll see that it's been a successful technology, but the one thing that it failed at over the decades is controlling the natural gas price. That's what drove the original DRI plants to their demise and that's one of the key elements of the whole DRI plant.
Timna Tanners - BofA Merrill Lynch, Research Division: Okay, great. And then so from high-level to a more granular question, I wanted to go into a little bit about what you said about the first quarter. We have been, here in first quarter, surprisingly weak to start the year, but your guidance of kind of a flattish outlook in terms of operations, particularly, even a little surprising considering that you had the worst quarter in a couple of years in both plate and bars. So can you just give us a little bit more color? Is this something that you think is somewhat temporary? Is it weather or the election or the fiscal cliff or is it something more onerous in terms of potential weak volume levels?
John J. Ferriola: I would answer by saying all of the above, okay? The economy is still struggling. We talked about the things that are influencing our business. You mentioned the fiscal cliff. Certainly, consumer confidence remains at a very low level. There's a lot of issues that are still out there in the economy. And you also have the issue that we mentioned of imports. There's a continuing surge of unfairly traded imports that needs to be dealt with. So all of those are factors that we have rolled into our forecast and said, based on all that, we think that the business will be stable and our operations will be consistent into the first quarter. I don't want to get into any breakdown product by product.
Operator: We go next to Dave Galison with CIBC World Markets.
David Galison - CIBC World Markets Inc., Research Division: So just -- now that you're heading into the ramp-up for the DRI facility, can you talk a bit about the next stages for your raw material strategy, and how we should think about the expansion to the 6 million and 7 million tons of scrap substitute?
John J. Ferriola: Well, first things first, David. We want to start up the existing one and get it running. And then once we have it up and running, as we said, we'll start up in the middle of the year, we should be up to full production sometime by the end of the year. Once we accomplish that, we'll take a look at where things stand, how well that's performing, what we've learned and we'll take a look at the market at that time, the economy at that time. Based on what we see, we'll make a decision on how we move forward.
David Galison - CIBC World Markets Inc., Research Division: And would it be a little bit longer timeframe, maybe another year, a couple of years, before you expand into that on level?
John J. Ferriola: Again, I'm not going to give a specific timeframe because we have to take a look at what the environment looks like as we make that decision at the end of next year. But we built the facility in Louisiana with the infrastructure to support a second DRI unit. So that should give you some indication of our thinking.
Hamilton Lott: And we will have 4.5 million of the 6 million to 7 million tons established so we've made significant progress with the second DRI facility towards our goal. There isn't a lot of pressure that we have to immediately do one right away. Like John said, there'll be a numbers factors that affect the decision.
David Galison - CIBC World Markets Inc., Research Division: And then just a housekeeping question on the tax rate. Is there -- it was a bit lower in this quarter. Was there anything unusual there that brought it down?
James D. Frias: Nothing too dramatic. There was some state long-term liabilities from 2008 that fell off as new ones went on and profits were bigger in '08 than they were in '12, so the flip of those things creates a small benefit in the quarter, but it wasn't, it might be $6 million or $7 million, somewhere in that range.
Operator: And we go next to Richard Garchitorena with Credit Suisse.
Richard Garchitorena - Crédit Suisse AG, Research Division: So my first question, just wanted to follow up on the questions on the projects, SBQ expansions at Berkeley. I know you can't give us margin expectations, but is there any way you can quantify the timing of when those are going to come on through 2013? Are they going to be more back half of the year or spread out throughout the year?
John J. Ferriola: Well, there's different timelines for the different projects that we have. Suffice it to say that most of them will be coming online during 2013. We might have 1 or 2 that will move into the first and second quarter of '14. Jim, is there anything you want to add to that?
James R. Darsey: John, that's basically it. We've got the projects in Memphis, Nebraska and Arlington and they're spread out projects affecting different areas of the operation. Some will be on as early as midyear this year, some in the fall of '13 and then some spill over into midyear of 2014.
Richard Garchitorena - Crédit Suisse AG, Research Division: Okay, great. And then my other question was just on nonres again. Obviously, we've seen some small improvement, but I guess, can you tell us what you think about when that turns, how is that going to be broken down between commercial construction and infrastructure, given the fact that government spending probably has not returned and probably will not return as quickly as to the rest of nonres, and obviously, residential construction has led the way. So how do you think about that going forward?
John J. Ferriola: Let me make sure I understand the question. You're asking how we view infrastructure builds versus other forms of nonresidential construction?
Richard Garchitorena - Crédit Suisse AG, Research Division: Which market do you think will come back first and how is that going to impact Nucor?
John J. Ferriola: Well, infrastructure might be slower in coming back, simply because of government spending. That said, when you look at the condition of our infrastructure, it's in very poor shape. So sooner or later, the government's going to have to make a decision to repair the damaged infrastructure of our country. So sooner or later, we will see a build, a return in infrastructure. When that's going to occur, I really can't say. On the nonresidential construction side, as we said, it's growing slowly. Our best guess would probably be maybe 2 more years of slow growth before we saw any significant improvement.
James R. Darsey: Every time we predict that it's starting better, it slows down again. So again, we think it's going to be better this year, but there's just not a lot of signs out there. The most encouraging thing is all the talk about manufacturing returning to the United States. That will be as big as anything in helping the nonres construction.
John J. Ferriola: And as we've said several times today, our focus at Nucor is always the long term. So whether it returns this year or next year, we continue to prepare for it, invest in our company and in our facilities so that we're ready for it when it does come. Inevitably it's going to return. Inevitably, the economy will improve. Inevitably, our markets will improve. Inevitably, nonresidential construction will improve and infrastructure builds will improve. It's just a question of time.
Operator: And we'll go next to Mark Parr with KeyBanc.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: I have -- this is kind of a high-level thought, but if you think about all the new iron units that are currently in process, you've got you guys in Louisiana, you've got this Magnetation thing going on up in Minnesota. You've got Mittel [ph] increasing taconite production, U.S. Steel increasing taconite production, how do you reconcile all that in a North American steel market that's not growing a whole heck of a lot? I'd just be interested in your thoughts about that.
John J. Ferriola: Remember that iron units move global, so you've got to look at the global steel market and certainly, right now, that isn't the greatest either. When you look at the long-term drivers and the dynamics of the global market, we continue to believe it's going to improve and be strong. And we always refer to it as the super cycles of steel and steel commodities. You've got still a lot of developing countries out there that are moving into the middle-class with fairly low steel intensities today that will improve. Over the course of the long-term cycle, globally, steel demand will still be strong. That will necessitate a strong demand for the commodities, the raw materials that go into it. So we look at it, again, in terms of a long-term cycle for steel demand and for the demand commodities. We don't look at it regionally in North America.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: Okay, so...
John J. Ferriola: A great example of that would be to take a look at how much scrap has been exported out of the country this year alone and it's going to be something that -- 2012, I think, will come in at about 23 million tons of scrap exported out of the United States, and that's going to continue. And I would add to that, especially given some of the countries today and the rules that they are imposing upon the exportation of their raw materials, particularly scrap. There's been a number of countries that have recently imposed tariffs or have outright banned the exportation of scrap. So as you have those dynamics come into play, there's going to be long-term continued demand for iron units of all types. We believe that and that's why we continue to invest in them.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: Just one other question, if I could, is there -- I mean, do you have any thoughts about, if you're going to have a positive surprise on shipments in the first quarter, where do you think it might come from? And likewise, if you were going to have a negative surprise in shipments, where do you think that would come from?
John J. Ferriola: Well, I guess the positive surprise in shipments would come if we had a very, very surprising improvement in the economy...
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: Any particular end markets, though? I mean, I wasn't trying to -- I was trying to be a little more specific.
John J. Ferriola: Well, we've talked about the ones that remained strong and of course, that means that there are some that are weak. So if automotive, energy, infrastructure -- excuse me, agricultural would suddenly slowdown, that could have a negative impact upon our business or if some of the ones that we mentioned are slowly but modestly improving take off wildly, it could have a positive impact on our business. So it really depends upon what happens in the economy. We aren't expecting any surprises. And hopefully, if we get any, they'll be the positive type.
Operator: And we go next to Tony Rizzuto with Dahlman Rose.
Anthony B. Rizzuto - Dahlman Rose & Company, LLC, Research Division: I've got a couple of questions here. It's been some time since you guys have broken out your key end markets. And now with growing auto and a lot of your acquisitions investments, I was wondering if you could take a stab at it, if you could share it with us, where you see how big auto is, construction, oil and gas, all those different markets for us, that's one of my questions.
John J. Ferriola: Well, I don't know that we want to give specifics on that. We might talk about some of the areas that we've grown in. We've mentioned during the call that automotive has been a focus for us and we've grown in that. I'm not going to give out any specific tonnages. But I will say that, as I mentioned, we grew 20% in that market. The markets that you mentioned are all strong markets for us, obviously, pipe and tube, gas industry's strong, all the ones that you mentioned. I don't think we want to get into giving specific market shares or a breakdown of what percentage of our products go into the individual markets.
Anthony B. Rizzuto - Dahlman Rose & Company, LLC, Research Division: It'd more or less, from a revenue standpoint, that's what I'm trying to get at. And I used to think about Nucor being maybe closer to 60% or 65% construction. My feeling is it's probably maybe a little bit less today, but that's where I'm kind of going with this.
John J. Ferriola: That's it. If you're looking at it from that macro view, we could make that comment and we would agree with you that over the last 5 years, we have worked hard and invested to shift more into the value-added products and we always make sure that as we do that, we don't abandon any of the markets that we play in, so we stay strong in the commodity markets, as we have continued to invest and grow into the value-added markets. In terms of general construction versus more manufactured products, maybe 65%, 70% of revenue.
James D. Frias: Yes, the only thing I'd say is we do publish statistics about how much we make in each of the subproduct categories: Sheet, plate, structural. So if you take a look at that data, we're the largest U.S. steel producer and we've got the broadest product offering. So generally, whatever the U.S. demand for steel products is, we're going to mirror it fairly closely because we pretty much make all the products.
John J. Ferriola: And participate in all the markets.
Anthony B. Rizzuto - Dahlman Rose & Company, LLC, Research Division: Okay, that's fine. And in terms of scrap, just your thoughts here, obviously, we're hearing that the scrap busheling for February could be down maybe $10, $20 per long ton. And I was wondering how you feel about the markets, how you see it playing out? If you can make any comments on that, it'd be very helpful.
John J. Ferriola: Well, I asked Mr. Grass about it before the call and he told me that if the market does not go up and the market does not go down, then there's 100% chance it's going to go sideways. I don't know if that helps you, Tony.
Anthony B. Rizzuto - Dahlman Rose & Company, LLC, Research Division: All right. 100% chance that it's going to go sideways, all right. Well, that's really helpful.
John J. Ferriola: If it doesn't go up and if it doesn't go down. Yes, let me make a general comment. It's a very regional business and in this particular season, more than in the past, we've had a lot of strange weather that's occurred regionally so there's a lot of different impacts on different regions of the country. Overall, as we look going forward, we see it not changing significantly from where it is today. So it's going to stay within a band, at least for the next month.
Anthony B. Rizzuto - Dahlman Rose & Company, LLC, Research Division: Fair enough. And the final question I have is, when is the right time for Nucor to buy iron ore assets? Are you of the view that iron ore is going to find its way ultimately down to that kind of $80 to $100 per metric ton level? How do you see it and what's your thought process there, John?
John J. Ferriola: It's the same as Dan has said many times. We continue to look at every opportunity that's out there. When we find the right opportunity, if we find the right opportunity, we'll act. If we don't, we won't.
Operator: And we go next to Sal Tharani with Goldman Sachs.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: John, just wanted to understand your CapEx sort of program for the next couple of years. It looks like most of these projects are going to be winding down this year. The DRI, the SBQ, probably Nucor-Yamato sheet piling may extend into '14 and it looks like the lighter gauge in South Carolina mill will also wind down. So I just want to understand how do we look at it, and of course, natural gas, $260 million per year, looks like is going to continue. But how should we think about CapEx sort of '14 and beyond, either you or Jim can take a stab at it, please?
James D. Frias: Sal, I'd say that based on what we know today, our expectation is that '13 will be a peak year for CapEx and it will wind down some in '14. But quite honestly, the way we're constantly working on strategic opportunities, I'd hate to limit it and say, it couldn't be a $1 billion again. I would say that what we know today would say it's probably in the $600 million to $700 million range in 2014. And for us, that's a long way to think out about specific CapEx numbers and we've talked about this before. We have a strategic planning meeting offsite every year in August. And after August, we get a better feel for what's going to happen 2 years out to 5 years out. And I don't know if we'll be willing to add color after that point in time, we probably won't, because we like to keep our cards close to the chest. But I would say, right now, our expectation is '14's down and who can even imagine after '14.
John J. Ferriola: And the only thing I would add to that, Jim, is we are constantly looking for the right opportunities. Given our strong balance sheet, we're able to act on those opportunities when they become available. We've got a great mergers and acquisition team that are constantly evaluating opportunities. If the right ones come along, we'll act on them. And we have the balance sheet to do it, and we'll do it. So I don't want to limit any comments as to what capital would look like in '14. That will depend entirely upon what opportunities are in front of us at that time.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Okay. And I have a question on the pellets supply. I know you're buying pellets for your plant at the moment, iron ore pellets, from Brazil and you continue to -- I think you planned [indiscernible] are beginning to buy from Brazil or -- I think Brazil, I believe, that's what Dan said in the past. And I was wondering have you looked at the supplier from the northern part, in Minnesota area or Canada, and does it make sense for you to look at that in terms of freight costs and quality over time that you can source your raw materials also within the continent rather than going out of here?
John J. Ferriola: Just to help your memory, Dan has mentioned several times that we actually get them from 3 different suppliers, 2 of which are in Brazil and 1 of which is in Canada.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Okay. And have you looked at other sources?
John J. Ferriola: Absolutely. We look not only in Canada for other sources and in Brazil for other sources, but frankly, we scour the world for the right pellet and iron ore feedstock and we found some interesting opportunities in some strange places and we'll continue to pursue those.
Operator: And we go next to Michelle Applebaum with Steel Market Intelligence.
Michelle Applebaum - Steel Market Intelligence Inc: I have a follow-up question. So I wanted to ask, you guys started talking about a new style of enforcement, a trade kind of thing, and I'm sure you've noticed that a number of our trading partners, particularly in Latin America, in Asia and Europe, have all been kind of putting up, making a lot of noise about some trade enforcement in their regions. And I was just wondering if you could give us an update on what's happening with that, in terms of new and creative out-of-the-box types of things.
John J. Ferriola: Well, I'm not going to give any specifics. We want to keep them as surprises. We don't want to give away our strategy. But I'll make a general statement and the focus will be on a more proactive approach. That's what we need in this country and we're going to pursue that as we move forward. Obviously, the way that it's worked in the past, the way that it's worked in the past has been a very reactive program. We take action after the damage is done, after steel companies are put out of business, after American workers lose their jobs. Our approach will be much more proactive. And I'm not going to say much more than that, other than to say that we're addressing that issue every day with our government. As mentioned during the script, Dan DiMicco is going to remain focused on that and I've got great confidence in his ability to get it done.
Operator: And with that, ladies and gentlemen, we have no further questions on our roster. Therefore, Mr. Ferriola, I will turn the conference back over to you for any closing remarks.
John J. Ferriola: Thank you. I'd like to close by saying thank you for your interest in our company. And I'd like to say thank you to our 22,000 teammates for working safe, for working hard, for working smart and working together. Thank you for what you do every day and please continue to do it safely. Thank you.
Operator: Ladies and gentlemen, this will conclude today's conference. Thank you for your participation.